Operator: Welcome to the Global Conference Call of Daimler. At our customer's request, this conference will be recorded. The replay of the conference call, along with the presentation slides, will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by Q&A session. [Operator Instructions] I would like to remind you that this telephone conference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management’s current views with respect to future events. These forward-looking statements can be identified by expressions such as assume, anticipate, believe, estimate, expect, intend, may, plan, project, should. Such statements are subject to many risks and uncertainties, examples of which are set out in the Safe Harbor wording in our disclosure documents. If the assumptions underlining any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury. Thank you.
Michael Mühlbayer: Good afternoon. This is Michael Mühlbayer speaking. On behalf of Daimler, I would like to welcome you on both the telephone and the Internet to our half-year results conference call. We are happy to have with us today the Chairman of the Board of Management and Head of Mercedes-Benz Cars, Dieter Zetsche; our CFO, Bodo Uebber; the Head of Daimler Trucks, Andreas Renschler. In order to give you maximum time for your questions, Dr. Zetsche will give a short introduction, directly followed by Q&A. Now I would like to hand over to Dr. Dieter Zetsche.
Dieter E. Zetsche: Thank you, Michael Mühlbayer, and good afternoon from me, too. We published our second quarter results today that clearly show that Daimler is growing. Given our strong investment in new products and technologies, our earnings were quite respectable as well. Our automotive divisions increased their total unit sales by 8% to more than 570,000 vehicles in the second quarter. Our revenue for the period reached EUR 28.9 billion, 10% more than in the second quarter of last year. Adjusted for exchange rate effects, revenue increased by 4%. The group's EBIT from ongoing business came to EUR 2.3 billion. We achieved a net profit of EUR 1.5 billion. Our earnings were primarily driven by further growth in unit sales in the United States and Asia. There were negative effects on earnings from partially weak markets and above all, from the previously announced expenses for new products, technologies and plants. EBIT also includes slightly higher charges from the compounding of noncurrent provisions. Please note in this respect, we had to recognize total charges of EUR 264 million in the first 2 quarters of this year. Our free cash flow in the industrial business developed positively and amounted to EUR 1 billion in the second quarter. The main factors were the good earnings from the industrial business and the cash released from working capital. There were opposing effects from our investment in future growth, as well as our capital contributions for our truck joint venture in China. Our net liquidity amounted to EUR 8.4 billion as of June 30 this year, EUR 3.5 billion less than at the end of 2011. The decrease mainly reflects the dividend payment to our shareholders. So how did our individual divisions perform? Mercedes-Benz Cars once again set a new record for unit sales in the second quarter. With sales of more than 370,000 units, we were 4% above the number for the prior year quarter. We set new sales record, for example, in China, Russia, the United Kingdom and Canada. Our new models were especially popular. We sold more than 30,000 units of the new M-Class and nearly 37,000 of the new B-Class. Never before did we sell as many B-Class cars in one quarter. Our second quarter EBIT amounts to EUR 1.3 billion, which is a good level considering the investments I have mentioned in future growth and the fact that some of our new models are not yet widely available. Mercedes-Benz Cars return on sales for the second quarter was 8.6%. At Daimler Trucks, we increased our worldwide unit sales by 34% to approximately 122,000 vehicles. This was primarily due to strong demand in the NAFTA region. Our growth in Asia was even stronger, although this partially reflects the base effect caused by the slump in Japan in the prior year period. In Western Europe, we further extended our leading market position. In Brazil, we slightly increased our market share in what is overall a contracting market. Daimler Trucks EBIT of EUR 524 million was 8% higher than in the second quarter of last year. Division's return on sales was 6.4%. Mercedes-Benz Vans unit sales increased compared to the prior year quarter by 2% to 69,000 vehicles. We achieved particularly strong sales growth in the United States with a plus of 33%. We also recorded a slight increase in our key market of Western Europe despite the continued weakness of markets in Southern Europe. The division's EBIT remained at the high level of EUR 197 million. Daimler Buses sold 8,400 units in the second quarter, 20% fewer than the prior year. EBIT was minus EUR 57 million. On the one hand, this decrease is due to the ongoing weak business with bus chassis in Latin America. On the other hand, it's due to expenses for the ongoing repositioning of our business in Europe and North America. Last but not least, Daimler Financial Services. The division's new business increased compared with the prior year quarter by 12% to EUR 9.4 billion. Contract volume reached EUR 76.1 billion at the end of June, which is 6% more than at the end of 2011. EBIT of EUR 338 million was at the prior year level. So much for current developments in the various divisions. Next, what do we expect for the second half of the quarter? Economic uncertainty and risks exist in nearly all regions. We therefore remain vigilant in our monitoring of general economic developments so that we can react quickly if required. We can do so more flexibly today than we could in the past. In a global scale, we continue to anticipate growth in demand for automobiles of approximately 4% for the full year. The biggest growth impulse is still expected to come from the United States and Asia. We expect a significant market decline in Western Europe, however. At Mercedes-Benz Cars, we plan to further increase our unit sales and to grow faster than the market as a whole in 2012. From today's perspective, we assume that unit sales in the remaining quarters of this year will be above the levels of the prior year periods. Numerous new models will contribute to this development. The new generations of the GLK and the G-Class have been on the market since June. Three new models will be launched in the fall, the GL, the CLS Shooting Brake and the A-Class. We have already received more than 40,000 orders for the new A-Class. We are therefore investing in the expansion of our production capacity. As of October, we will operate a third shift in Rastatt. However, our capacities are still not sufficient to satisfy the enormous demand as quickly as we would like, so we will have the A-Class additionally assembled by an external partner starting 2013. We have already signed an agreement on this with Valmet, a Finnish automotive supplier. Valmet will produce a total of more than 100,000 A-Class cars for us by the year 2016. There's also news from China. Daimler and its joint venture partner, Lei Shing Hong, have agreed that Daimler will increase its stake in the import and wholesale company for Mercedes-Benz Cars in China from currently 51% to 75%. Daimler and Lei Shing Hong will continue their partnership with a strong focus on retail. The increased stake is an integral part of our strategy of repositioning our sales activities in China. What do we expect for Daimler Trucks? At a global level, the division continues to have good growth prospects. The NAFTA region should once again be the most important driver of demand in the worldwide truck market. Our order backlog there already extends into the fall. In Europe, we will develop better than the overall market with the new Antos and will further extend our market leadership. In Brazil, we assume that we will be able to defend our good market position. As for the overall Brazilian market, we expect a decrease. At Mercedes-Benz Vans, we aim to achieve renewed growth in unit sales, even though the overall market for midsized and large vans will probably tend to weaken, at least in Europe. But we anticipate a stimulus from the small van segment, and we have exactly the right product for that segment with our new Citan city van. In the United States, we expect further growth in unit sales in an overall market that is developing very positively. At Daimler Buses, we assume that sales figures will be lower than last year due to generally weak demand. This applies to Latin America in particular. Recently, however, there have been some positive signals from this market. Our unit sales have risen sharply in the past few weeks, thanks to the implementation of state incentives in Brazil. This effect may persist through the remaining 5 months of this year. At Daimler Financial Services, contract volume and new business should continue to grow this year. What does all this mean for expected earnings in the full year 2012? On the basis of current market expectations and the planning of our divisions, Daimler aims to achieve EBIT from ongoing business in 2012 that is in the magnitude of the prior year. This guidance is based on the assumption of currency exchange rates close to their present levels. For the development of EBIT in our divisions, we can give the following guidance from today's perspective: Mercedes-Benz Cars, in the magnitude of the prior year; Daimler Trucks, at least at the prior level; Mercedes-Benz Vans, in the magnitude of the prior year; Daimler Buses, below the prior year level; Daimler Financial Services, slightly below the prior year level. There's no doubt achieving these targets is a challenge. In view of our scheduled high expenditure for new products, technologies and production facilities, that is always clear, and consequently, we have always said that we've got 2012 as a transition year. Meanwhile, there are many indications that economic uncertainty and risks could intensify again in the second half of the year, so the challenge of achieving the earnings targets we have set is not getting any smaller. At the same time, we maintain our midterm targets for unit sales and earnings. We continue to pursue those targets based on our growth and efficiency strategies, Mercedes-Benz 2020 for cars, Daimler Trucks #1 for trucks, Mercedes-Benz Vans Goes Global for vans, GLOBE 2013 for buses and DFS 2020 for financial services. It's now important to implement these strategies, and that's exactly what we are continuing to do. Now we will be happy to take your questions. Thank you.
Michael Mühlbayer: Thank you very much, Dieter Zetsche. Ladies and gentlemen, you may ask your questions now. [Operator Instructions]
Operator: [Operator Instructions]
Michael Mühlbayer: The first question comes from Horst Schneider.
Horst Schneider - HSBC, Research Division: It's Horst Schneider from HSBC. I have got 3 quick questions. First of all, a question on the currency effect. So maybe you can split it up or maybe you can give us some indication what you expect now for the full year in terms of positive currency effects if the dollar or the currency rates stay where they are at the moment. And if I get your guidance right and you can only meet the 2012 guidance if the current U.S. dollar rate remains at the level that it is right now, so maybe you can clarify that. And second, I want to ask what was the precise net price impact in Q2. Your presentation shows only the total effect, including volumes and mix as well, so maybe you can single out what was pricing in Q2. And I would be particularly interested what is the pricing trend going now into H2 in Mercedes Cars. Then the last question that I have is -- it relates to your China business, and you have said that you have bought here now -- you hold now 75% stake in the import company. I would like to know if that has got any consolidation impact. And what is the long-term impact then from this business? So shall we see then in the future that Daimler catches up to the growth rates of BMW and Audi also then in the future? I mean, so far, you are underperforming with the market. I think this was related, to some extent, to the problems in the import business. Maybe you can also make a statement on that.
Michael Mühlbayer: Bodo, you want to start with the FX?
Bodo K. Uebber: Yes. Based on the current level, the dollar effect is roughly, over the whole year, EUR 600 million to EUR 700 million. Of course, in the currency walk, there are also other currencies, of course, which is, of course, not easy to predict because you have volatilities on the one hand on the others. So on the dollar side, it's EUR 600 million to EUR 700 million. Of course, why we just have benefits to all of this, is because as we always said, we have our product -- or our hedging portfolio, not as full but only -- we have collars and options, and therefore, we have a fluctuation, of course, in the currency exposure and the effect. Our guidance is always based, as we said, on market assumptions we have given to you and on the other hand, on the current currency rate.
Dieter E. Zetsche: Of course, what Bodo said was exactly right, like always. We have in another column, from these collars and their financial evaluation effect, which is, to some extent, going against that, so the net number is somewhat lower than that.
Bodo K. Uebber: This is right. There are 2 effects. So there's one -- sorry, I'd forgotten that but I have a good CEO which reminds me once in a while about the topic. Is an effect, of course, when you have receivables. So you have to devaluate, of course, the value of the receivables each month and each quarter by the effect of the currency, that is one, which is, of course, negative because we have now a lower value of the dollar. That is one topic, and the other topic is when you have collars and options, you have, so to say, timing effects, which are fluctuating, which are not shown here in this net currency effect, which are negative.
Horst Schneider - HSBC, Research Division: Okay.
Dieter E. Zetsche: You were asking about incentive levels. We had the objective to reduce the incentives since -- we always have this objective, of course, but it was part of our plan in 2009 and 2010. And '11, we were successful in this regard in this year since the crisis. As you know, first quarter this year, we had some actions going against that target mainly in China, which had a negative impact in China. But in our overall incentive level, in 2000 -- sorry, in the second quarter, we are more or less back to our plant levels, but it's questionable if throughout the year, we can offset the negative impact from the first quarter for China in the remaining quarters because then, of course, you would have to run below our blend rate. So we are seeing pricing pressure across the board, as has been reported by some of our competitors as well. Of course, with new products like the M-Class or the B-Class, which see very strong demand, we have improvement of our average incentive levels coming from that side. But certainly, altogether, there is more attention in the market. We try to withstand that to the maximum possible, but there is a risk of further deterioration in the end.
Horst Schneider - HSBC, Research Division: But do I get it right? Sequentially in Q2 versus Q1, the price incentives have not deteriorated or not increased?
Dieter E. Zetsche: They have come down, as I said, mainly in China but not exclusively. So altogether, the second quarter pricing was a positive development versus the first quarter. You had a third question, which was regarding China. Your observation is, of course, right, that in the first 2 quarters, we had considerably less growth than our 2 main competitors. We should state, I think, in fairness not to us but to our people in China, that for about 5 years, there was a major delay in starting local activities in China, we were in successful catch-up mode. So for 5 years, we closed a huge gap to our main competitors to, in the case of BMW in 2010, almost 0. In '11, the gap widened a little bit again, but now, in 2012, we see significant more growth with the 2 main competitors. There are a number of issues related to that. There are some we knew, like for instance, what we already reported, that we would shut down the plant for 6 weeks, and obviously, there was a lack of supply. We knew that the expansion of the dealer body or dealer network on the BMW side would be faster than for us for third and fourth tier markets, metropolitan markets. And in the second half, we will have accelerated extension of our network. But beyond that, we have some issues as well about positioning our vehicles and, as we discussed all the time, about the 2 sales organizations, which were not working in sync in the past, we established this virtual integrated sales organization, which is a step in the right direction but, by far, not there. Now having a signed agreement with Lei Shing Hong, we have the first step with one partner to achieve the second step of a legally integrated sales organization together with BAIC. We are in these negotiations but not finalized. We have another issue that the mix of the market in demand has changed quite a bit to much more 4-cylinder percentages. We were much higher in 6 and 8 cylinders than our competitors. We have to adjust somewhat. This takes a little time, inventory and so on. So I could go on and on. This doesn't help you, and it's not that interesting to you. We recognize that we are falling short to what our competitors could achieve in the first half, but we know this is extremely important to have the performance in China. They are on par with our competition. That's why we are strongly analyzing all reasons, addressing them and fixing them as fast as possible to get back to a strong growth rate in China to the extent the market altogether allows. Perhaps just as one little caveat in this regard, I know the world is composed of all countries being on this globe. Still if, for a second, we take out China out of the total situation, then we can state that in the first half that Mercedes has grown faster than BMW or Audi. So it says that even with a slightly older portfolio, we are competitive on a worldwide basis, except for China. And there I come back to my point that, obviously, China, we have to put all our focus on to assure as soon as possible a similar competitiveness there.
Horst Schneider - HSBC, Research Division: What have you paid for the stake increase in Lei Shing Hong -- or for the stake increase in the import company?
Dieter E. Zetsche: Finally, by stake buyback, which is quite reasonable. We inform you when we have signed it, but we will inform you during the next disclosure in Q3.
Horst Schneider - HSBC, Research Division: Okay. But the minorities will decline then in tendency in the future because you have higher stake in the import company?
Dieter E. Zetsche: We will get to 75% coming from 50%, and therefore, you're right.
Michael Mühlbayer: Okay, the next question we get from Kristina Church.
Kristina Church - Barclays Capital, Research Division: My questions are rather following on from Horst's comments on pricing. I was just wondering, you talked about China pricing, obviously, improving, but could you just comment a little bit about the European pricing environment? Has there been any deterioration there? And then also back to the FX comment, could you just give us an update on how covered you are in terms of hedging for 2013 and when some of that hedging was put in place? And then finally, just looking at your EBIT walk-down on Page 27 in the Appendix, I was wondering if you could talk a little bit more about the other cost changes, specifically the EUR 457 million in Mercedes, what those relate to specifically.
Dieter E. Zetsche: So once again, about pricing. We were talking about China. You were asking for Europe. There are certainly -- especially in the volume segments, of course, the pricing pressure in Europe is high. Somewhat less in the premium segment, but clearly as well. We, as I mentioned before, we intend to have ideally a positive pricing development in the second half. That is certainly an ambitious goal given the environment, but that's what we try to accomplish. And it's not just blue sky because we know about all the new products, the A-Class, the CLS Shooting Brake, the GLK facelift, the new M-Class, which still is very strong as far as pricing capabilities is concerned. So all these new products will help us on the pricing side, and that's why we have that perspective.
Bodo K. Uebber: Kristina, to your questions of how we are hedged in 2013, we are currently on 65% with the U.S. dollar hedged. Of course, also here, roughly 2/3 in forwards and 1/3 in main options and collars, roughly. You had a question to the other cost changes. In the cost walk, of course, one topic, of course, we do have the -- you see in trucks the number of 100 million. That reflects the introduction of the new Antos, which we addressed with a couple of hundred million as cost for the total year, incremental to 2011. That is one piece. Of course, you know also there are some R&D spendings more on this side, the material cost effects, so that is included here. On the Mercedes-Benz Car side, we addressed it also in the early beginning of the year. We have a couple of hundred million for the total year for the capacity extensions. So one piece of that is you see here. The other one is the R&D increase, certainly, which we see where we do not capitalize the R&D costs. We have higher material cost, of course, and then 2 baskets. One is the CO2-related measure, which we address also in cash commit in the variable cost. And the first one included here is the attractiveness of our product portfolio. All in all, reflects this development. Of course, there was also -- when you have a good guy in the last quarter of last year, of course, it shows up here as a difference. So there was also a good development in other costs. So all in all, that is the explanation on the costs and as we addressed it also in the beginning of the year.
Kristina Church - Barclays Capital, Research Division: Could I just ask a follow-up question? So going back to pricing, you were talking about having some issues in China in the first quarter of the year, and I know you were discounting heavily early on. Can you explain exactly what your strategy -- why you decided to discount so heavily? And do you think it's been detrimental for the rest of the year? Is it hard to regain that pricing, or are you back on an even keel now in China?
Dieter E. Zetsche: I think we discussed that in length in the first quarter. We certainly can repeat that. One element, as we discussed at that time, was that in the S-Class, we were just before the introduction offer a special edition, which allowed us to have higher incentive levels in a moment where we were, as I mentioned before, very short on supply in our major car lines. So to balance that somewhat, the local management decided to go this route. On the one hand, as they intended, they were able to bring back the levels to the pre-peak level, so that's a good part of the news but still not in the first quarter, not today. I would say that this was the best of our decisions to go there. It was, as I said, [indiscernible] within the local management to offset shortages of supply in the other car lines.
Michael Mühlbayer: Good. The next question, we take from Christian Breitsprecher.
Christian Breitsprecher - Macquarie Research: Breitsprecher from Macquarie. I have a question related to the U.S. truck business. When we look at the sales volumes, they still look very strong. You have nice growth there, but the order intake just keeps coming in fairly weak over the last quarters, I think giving you something like a book-to-bill ratio in the second quarter of 0.65%. What is behind the order weakness? I mean, is it just that people have placed their orders and you're sitting on a huge order backlog? Do we have to brace ourselves for a significant downturn? Then also in sales volumes in 2013, just how do you see really the heavy truck market developing in the U.S.?
Dieter E. Zetsche: Let me try to answer it. I think when you look to the NAFTA region, we see sort of economic uncertainty in some areas postponing [indiscernible] placing orders that we saw the last couple of months. The positive side, let's talk for a second to -- over the year 2012. We have a good order backlog. In June, the orders, specifically for us, reached kind of a bottom line, so we see in July the same, a little bit more. So like I said a couple of weeks ago, we are fine in production. We have certain openings in August, end of August and September, but in October, November and December, we're already full again. So the real question is not the year 2012 for us. It's the question of 2013. And to give you there a first indication, the big fleets are placing their orders in October and beginning of November, and then we have a much better view of what 2013 could be. There is no really solid indication that it will not go up another couple of percentage next year, but there's uncertainty. And again, because we are delivering to a lot of big fleets, we will see this at the end of October, latest at the beginning of November and have them really some good indications for 2013.
Michael Mühlbayer: Next in line is Fraser Hill.
Fraser Hill - BofA Merrill Lynch, Research Division: Fraser Hill from Bank of America. First question is on trucks. Just looking at your mix, it does look as if you must have had a very profitable U.S. truck business in the past, you've indicated that you wanted to get that business into the high-single digit percentage margin level. Is it fair to say that you're operating at that level today? Just wondered if you could confirm that and maybe make some comments about how your Asian profitability is progressing in line with your ambition to get up towards a mid-single digit level there. Second question would be on Valmet and the A-Class. How should we think about that in terms of the margins for the new A-Class? Obviously, it's only a proportion of the product, of the A-Class production that's going to come from that, but how dilutive is that going to be in terms of the margin that you're going to be making on the new A-Class product? You can just give us some sort of idea how to think about that. And then I apologize, I'm not sure if I missed an answer here. But in terms of the breakdown of the others cost stack in your EBIT bridge, the EUR 591 million, how should we think about that line or that delta going into Q3 and Q4? What have been the big contributors to that, and what should we expect there going forward for the rest of the year?
Dieter E. Zetsche: Let me start with your truck question. If I got it right, you are interested to have the margin in the U.S. and Japan. I can only give you the indication. They are -- in both country, better than planned, and it shows us very clearly that we are on track of our big milestone to achieve next year, the 8%, finally. We have done a lot of restructuring, as you know, but restructuring is not only cost, it's also a different positioning, specifically in the United States. If you see today the Freightliner brought out really a total different position with a lot of productive [indiscernible]. And this overall, we put a lot of effort and time in it. So finally, they came to this conclusion and without making a detailed disclosure here as yet. As far as Valmet is concerned, talking about, first, the cost of labor, it's somewhere in between Rastatt and Kecskemet. Structurally, it's, I think, an important strategic move because obviously, we discussed it in the past, our objective is to reduce our work in integration to shift, if you want, fixed cost into variable cost. Therefore, when you just purely ask about margins, it's logical that with the capacity increase where you basically don't pay the capacity, you have lower margins. But this does not say anything about the profitability and says something about a step forward in our objective, once again, to become a leaner company with less fixed cost or less growth of fixed cost relative to the overall growth strategy we are pursuing. And that's especially true when you talk about potentially peak demand, where it's even less smart to put all of that in fixed assets for the wrong one. So I think this is a very, very good move going forward.
Bodo K. Uebber: Fraser, I addressed your question already in questions before, and I broke it down. It's mainly related to the product cost on the one hand, where we are investing heavily into the R&D cost. On the other hand and also launch costs and capacity increases. So if you go back in this group, I have also differentiated between the cost basket.
Michael Mühlbayer: Okay, next in line is Arndt Ellinghorst.
Arndt Ellinghorst - Crédit Suisse AG, Research Division: To me, it appears, when I summarize the quarter a little bit, that the real underlying fundamental momentum is pretty good and strong in the trucks division. There's a lot of work that's been done in the trucks division and the division is moving forward. And you mentioned in the call this morning that the margin should continue to improve moving forward, whereas in Mercedes, there are a lot of external factors driving the profitability. If I take out the currency effect on the second quarter, the underlying margin was 7%, right? And that's a decline by 370 basis points over last year. Now coming back to the other line in the EBIT walk and when I look at R&D cost, depreciation piece didn't really go up materially in the quarter year-over-year. Could you probably talk a bit about material cost, what is impacting your material cost, how sustainable is the increase of material cost? Is that something structurally CO2-related, quality-related? Because I guess you should also by now have a bit of a tailwind on the raw material cost side.
Dieter E. Zetsche: First of all, it's fair if you want to take out the currency effect. I mentioned before that this is a gross effect, and you have to take off of that the other impact, which were mentioned by Bodo. Secondly, [indiscernible] was indicated as well, where the 3-digit special impact in the second quarter last year, which was related to some warranty claims to some of our suppliers, which then probably you should take out as well. So when we want to go into these differentiations, it's a longer walk. Anyway, as rightfully stated, we have a significant increase in material cost. That's something we talk about all the time. And as Bodo mentioned, it's driven on the one hand by CO2, on the other hand, by more content to make sure that a Mercedes is a Mercedes, which, at some time, we were lacking somewhat. And we said as well that this is an issue where we have to work on in order to get to the net 0 by latest in 2007. But this does, of course, not mean that we start in 2016, but we work on that full-fledged in order to offset as early as much of these increases as possible. And that's exactly what we are trusting with all our forces. Within our overall business system, a negative parameter. As far as cost is concerned, it's a positive parameter. As far as our strong reduction in CO2 is concerned and the reaction we are getting on the [indiscernible] of our product, so we have to bring that both together, and that's what we are working on right now.
Arndt Ellinghorst - Crédit Suisse AG, Research Division: So I understand it then correctly that this is more structural development for the entire industry from Mercedes as well, rather than something that's happening at a quarter and then it's coming down, disappearing over the next couple of quarters?
Dieter E. Zetsche: I mean, we are not in sync in all aspects in this regard. When I'm talking, we want to make sure that we at Mercedes -- sorry, at a level where everybody clearly perceives Mercedes as the brand as far as appreciation is concerned. Then this is not true for everybody. When I talk about CO2, of course, the challenge is true for everybody. We were not entirely in sync in making our moves and making progress. It's true that it's not a quarterly effect. But it's true as well, as I said, that we have countermeasures, which we are reinforcing and strengthening all the time in order to have as fast as possible a counter element to this structural element to offset it. That's, again, the net 0 approach.
Michael Mühlbayer: Okay. Next in line is Stephen Reitman.
Stephen Reitman - Societe Generale Cross Asset Research: Stephen Reitman from Societe Generale in London. A couple of questions. First of all, on China, I've noticed that production is now picking up again after the shutdown that you mentioned, 6-week shutdown. And in May and June, we were seeing at least double-digit or even triple-digit rises year-on-year in production at the factory. When are those going to translate through, do you think, at a retail level? When will we see that in terms of the Mercedes sales in the second half of the year in terms of -- because obviously, the growth rate has been rather poor, particularly in the second quarter. Second question, also going back to this issue about the extra cost, and as you refer back to the Kecskemet discussions and the EUR 6 billion of cost headwinds you referred to then compared to 2011, and how we should look upon this. Should we then expect then basically to see that EUR 6 billion roughly playing out as part of that EUR 500-odd million of extra costs on a quarterly basis or so, or how will that work?
Dieter E. Zetsche: As far as the first one is concerned, we're obviously composing our sales out of the CPU business and the parts business being locally produced. We had some discontinuities on the supply side, as we discussed before, which create a necessity of some catch-up after this shutdown as well. And so overall, the total sales development will be less volatile than the local production which you were referring to. But clearly, we plan for an increase of our sales in the first place in the fourth quarter, driven very much by new product entries as well. And some of the products we introduced in other markets much earlier are coming much later to China, like the M-Class, for instance. And therefore, the GLK facelift, we are working on the current GLK in China longer than in the rest of the world. So the third quarter is not forecasted to have a major lift, but the fourth quarter, definitely, not just because of wishful thinking but based on the product launches we are planning for. The second part, we try to explain that in our Kecskemet discussion. We have, for a number of years, had cost increases coming from these elements I was mentioning and there are facelifts and the leap year, model year and all of these things created additional content into the vehicles. On the other hand, we had efficiencies in commercial negotiation with the suppliers and then, of course, the technical improvement of our basket. And once again, the last element in that relevant was raw materials. Now for a number of years, the net of that was a reduction of our bill of material. Last year and this year, we see a significant increase in the bill of material. But we talk about the EUR 6 billion above the line. That means that we would see that as an increase in the first 3 years fully. But we have, of course, compensation, partial compensation of that as well. But there was significant remaining increase of the total, net increase of the total bill of material, and we are shooting for years where we will again have a net decrease of the bill of material to the extent that we offset the increases of the years before and, therefore, come to the net 0. That might have been a little complicated the way I tried to explain it. But it's just turning around the net increase into a net decrease, again, with enforcement of the reduction elements we're having. And of course, new product introductions are helping in this regard significantly. For instance, the new C-Class is a major contributor where the modular strategy and our architecture, the modular 2.2 basically and our platform strategy, C-Class and D-Class, have a very high commonality. These elements help a lot to offset these material price increases.
Michael Mühlbayer: So next in line, we have Jochen Gehrke.
Jochen Gehrke - Deutsche Bank AG, Research Division: Just 3 quick ones as well, if I may. First of all, on your depreciation and product warranty position that we've seen in the first half, obviously, the increase was not following either the pickup in capital spending or the tick up in business volume. When we now look out to the second half, what are your projections? Is the run rate of EUR 2 billion depreciation what we should see for the second half, or is this now finally coming up given that by now, you're significantly spending more than you currently depreciate? Secondly, with regards to pricing again, I, at least from my stance, am currently a bit puzzled about what you are saying. I remember in the first quarter, you called pricing still net positive. Now second quarter, you said it's even more net positive. But at the same time, you're worried about the second half. Is that about the correct understanding? So by now, is there a harsh change in the marketplace that you're observing and that explains a bit the cautious message? If you could just allude a little bit that. And then finally, you reiterated in the group earnings guidance, but I recall that you also had a cash guidance, which, at least by now, looks a bit more ambitious, more than EUR 2.3 billion of cash flow. By now, we are EUR 1 billion negative due to working capital. Can you just share your thoughts where you stand on that, whether the second half is going to be that strong on cash that you can make up to that claimed number in the past?
Dieter E. Zetsche: Can I, perhaps, start with the answer to your second one because obviously, there, we had a misunderstanding. What I, at least, wanted to say was that the first quarter, we had an increase of incentive levels, therefore a negative impact from pricing, mainly driven by China. And then I said that in the second quarter, we had an improvement of the situation again. We were able to take down this high incentive levels, especially in China again. And that for the rest -- the remainder of the year, our objective is to further improve our pricing, but we recognize that the environment is not helpful in this regard. What is helpful? Our new products to be launched. So far, I hope I could clarify our past and future expectation -- past facts and future expectations as far as pricing is concerned. Do you want to say something about cash?
Bodo K. Uebber: I think, Jochen, the first question with the depreciation, is the trend, of course, is increasing. By launching new products, of course, the depreciation is higher. So it means for the new A-Class, for the CLS Shooting Brake, GL and so on and so forth, the number is increasing. On the truck side, I don't see this increase. It's more on the...
Dieter E. Zetsche: It has happened.
Bodo K. Uebber: It has happened already, yes. On the one hand, I see it more on the car side. The cash flow guidance, of course, I also don't want to correct you once in a while, but the cash guidance was to be over and above the dividend on the one hand, but excluding M&A, gross investments and contribution to the pension plan. All of that was roughly EUR 1 billion for the total year. Currently, we are at EUR 500 million, EUR 600 million, EUR 600 million for the half year. So by excluding that, it would be a net of EUR 1.3 billion. And of course, I wouldn't say that it is not a stress in the system, so we do all what we can to deliver this number. It's mainly depending, of course, on the earnings developments, which gives us certain cash flow in cash flow. And the other big piece is, besides controlling our CapEx spendings and other spending, is the inventory management, which I do think some opportunities on the truck side. For example, when you look at Brazil, obviously, there could be a good guy in this direction. On the European side in the development, they are the good guy. On the downside. We are already very disciplined with the approach in inventory, so we stick to our guidance as we said it before.
Jochen Gehrke - Deutsche Bank AG, Research Division: Okay. Sorry, if I can just follow up. You mentioned inventories. Obviously, the EUR 18.5 billion marks in your high point. That's also a function of the business volume. But is it -- this EUR 2 billion increase since the start of the year, is this all in trucks? And how do you feel about when you mention growing economic uncertainties? Is there an objective to bring that number aggressively down by the end of the year, or how should we think about that?
Bodo K. Uebber: Of course, we will bring it down. That is right. On the other hand, it's not only trucks because both elements -- as I said before, Brazil is a topic where you can imagine that we have some inventories currently. But anyway, the total number should go down.
Dieter E. Zetsche: And it's not only finished goods, of course. So we have to look at all elements there, including used cars and so on, in our balance sheet -- and we're addressing all of them. As far as finished good is concerned, cars is at a very healthy level. Probably in vans and in some areas in trucks, we have still some opportunity of further reduction.
Michael Mühlbayer: So the next question, we get from José Asumendi.
Jose Asumendi - Baader Bank AG, Research Division: Two questions please, the first one on trucks. Andreas, when I look at the seasonality of volumes on the truck business in 2011, and there was virtually no seasonality since volumes were recovering from all-time lows. Now as we go into '12 and Q3, would you agree that we're going to be seeing some more seasonal -- a classical weaker Q3 versus Q2? And then just about you're planning maybe to see volumes down year-on-year in Q3 and Q4. And what kind of measures could you take to offset these declining volumes? And then second on autos. Sorry to come back to the other cost changes and the currency impact, but they're proving to be rather volatile categories to forecast. But would you mind maybe providing us full year guidance for both categories in order to have a clear picture of that?
Dieter E. Zetsche: Well, let me start, Jose, with your question on trucks. It's very simple. Our actual expectations in the market and also support us through our order intake and order backlog, we see increase in the third quarter and also more or less in the stable level in the fourth quarter. So in the second half, we see higher sales than in first half. There are, of course, volatility in the market, so we should not hide them. One volatility we have in Brazil, we see early indication that at least the dealers are starting to order something, slightly recovering. But this is, of course, our volatility we see there. Industry, as I mentioned, we expect still, like we said, a Brazilian recovery in the second half year. Besides that, we will see increase in sales.
Bodo K. Uebber: Jose, I ask for your understanding, we are doing EBIT guidance, and of course, there, we give clear guidance on a divisional level. So we don't give guidance now on specific cost elements. Thank you for your understanding.
Jose Asumendi - Baader Bank AG, Research Division: Okay, but maybe just on currency, I mean, we could more or less agree on a year-on-year basis in Q3 and Q4.
Bodo K. Uebber: On currency, I've already told the market that I expect, for the total year, on the U.S. dollar, based on current rates, EUR 600 million to EUR 700 million for the total year. Of course, there are negative effects somewhat, in some receivables, which you have, of course, [indiscernible] evaluate in other topics, which are the net, of course, a little bit offsetting, somewhat offsetting the number I had told you.
Michael Mühlbayer: Okay. We take the next question from Stuart Pearson.
Stuart Pearson - Morgan Stanley, Research Division: Stuart Pearson at Morgan Stanley. Just a few questions. I mean, I'm sorry, the first one, to labor the pricing point. I just wanted to check that I understand that we're all talking about the same thing here. When you talk about pricing being positive in the second quarter and potentially into the second half of the year, I mean, clearly, you have some new models going on sale that help, and you've mentioned all of those models. But if you think about like-for-like pricing on models that are not being changed, how negative pricing are we seeing on those models such as the E-Class and the C-Class as well? And when you talk about pricing, are you including elements such as content, low finance rate offers and, perhaps, more generous residual value assumptions? So perhaps just clarify that we're all talking about the same thing there. Secondly, just on credit losses, it looks like another very low quarter of credit losses in Q2. Are you seeing any kind of signs of -- or anything there that would make you more concerned and starts provision more conservatively for credit losses, particularly in the European market? And then finally, just going back to, I guess, the dividends. You talked about the free cash flow aiming to match the dividends. But how should we think about what really drives that dividends? At the end of the day, if the guidance of flat EBIT proves, as you say, challenging and earnings are down a little bit year-on-year, given the high payout ratio we saw last year, I mean, would you be -- how keen are you, or how intent are you on maintaining that dividend at last year's level?
Dieter E. Zetsche: I would like to ask for your understanding that I can't give you much more details on pricing car line by car line and country by country. I told you about the sequential development between the first quarter and the second quarter and the impact we had in the first quarter and our objective for the third and fourth quarter and that the ambitious goals we are setting ourselves are driven by the new vehicles being launched. That in itself says that the existing models, of course, within their life cycle have some degradation in their pricing capability. Then you have facelifts, which have turned the situation around. But I don't think I can go into more detail in a quantitative way in this regard.
Bodo K. Uebber: To your question of credit losses, we saw some increase, slight increase in the second quarter compared to last quarter. We are on the lower level compared to the long-term trend, so therefore, nothing to be concerned about, really. We have some higher losses in Brazil, for example, and some European countries. On the other hand, we have also high nonperforming loans in some South European countries, which, on the other hand, not create really losses currently, which is good news. And we see some, of course, in some countries, where we have to restructure, for example, dealer net or dealer net-net, some dealers which have problems in some direction. More than this, we are not seeing the level -- as I said before, worldwide is on a very low level. Dividend, we have set ourself not only a target but also the guidance of 40% payout ratio, and we keep on that target.
Michael Mühlbayer: Okay, next in line is Albrecht Steinenhoff. [ph]
Unknown Analyst: One might address the other cost changes, which have increased somewhat from EUR 514 million in the first quarter to EUR 591 million. Could you give us some light about the second half? Is it, in Q3 and Q4, staying in this EUR 500 million to EUR 600 million range, or is there substantial reduction in Q3 or Q4? And second topic, the provisions for guarantees, for product guarantees. I noticed then in the balance sheet statement that they actually declined somewhat in the second quarter. Could you give us some color what is behind this reduction and what is, say, profit level going forward in terms of provisioning for product guarantees going forward?
Bodo K. Uebber: To your last question, so it's a good story, of course, behind the -- or our goodwill and royalty development all over -- the last couple of years, we could reduce the quality costs. That was true for trucks, vans and also for cars. So it's constantly on a very good trend. And you saw as well a small decline in the provision in the second quarter, but overall, the trend is good. We do think also in the future years, we can further -- go further down with that topic. Your first question for the cost changes, so I do expect on the truck side more or less a constant run rate on that topic compared quarter-over-quarter, and for cars, I expect a reduced level compared to the second quarter.
Michael Mühlbayer: And the next question and last question, we have from Austin Earl [ph].
Unknown Analyst: It's Austin Earl [ph] from Marshall Waite [ph]. Actually, can I just clarify on that last question, which you just answered about the cost? Is this referring to the -- when I look at your bridge on Slide 27, the other cost changes, where you were saying that for trucks, that should be stable quarter-by-quarter going forward but lower for cars. Did I understand that correctly?
Bodo K. Uebber: So what I said, yes, as I said before in trucks, we have the launch of the new Antos, and so the effect we had in the second quarter, I do expect a stable development over third and fourth quarter compared to the respective quarter in 2011. And on the car side, some slight decrease of that number which we had in the second quarter.
Unknown Analyst: Okay. Then if I could also return to the issue of pricing, if I apologize for coming back to this, but you've been talking sequentially and the bridges that you provide are actually year-on-year. I just wondered if you could talk about pricing on a year-on-year basis, what you saw in the second quarter and what you'd expect in the second half.
Dieter E. Zetsche: We were talking or I was talking specifically about the China story in the first quarter and then about the development from this first quarter to the second quarter. That's why I referred to a sequential development. Of course, in our reporting, we typically show year-over-year. And in this regard, we showed Q2 '12 versus Q2 '11 as a flat story as far as pricing is concerned.
Unknown Analyst: Okay, great. And then so for the second half pricing, then I'd understood what you're hoping year-on-year for it to be stable, but you're just highlighting that you're a little bit cautious on that?
Dieter E. Zetsche: Correct.
Unknown Analyst: Okay. And can I maybe just ask then about Valmet and the outsourcing? Is this something that Daimler has done before?
Dieter E. Zetsche: We had a number of examples for that. One is ongoing. That is our G-Class, but we were with common, we had for some time and at least as Daimler Chrysler, with Magna, which is, if you want, almost dropped as well. And so we had examples -- it's typically with specialty vehicles like the G-Wagon as I mentioned or like convertibles, for instance, niche vehicles, that we had. We had one example a long time ago with Porsche, where we had the famous E500, mostly in purple, so in relatively small volume. But that volume vehicle is taking to another plant is somewhat new and once again reflects an overall mindset.
Unknown Analyst: Yes. So are you saying that this is something that you might be doing more of to reduce the fixed costs?
Dieter E. Zetsche: I said our objective is to use the growth opportunities into the future to address our overall structure to become a leaner company.
Michael Mühlbayer: Ladies and gentlemen, thank you for your questions and for being with us today. Investor Relations remain at your disposal to answer any further questions you may have. We hope to talk to you again soon. Thanks, and goodbye.